Operator: Greetings, and welcome to the Mytheresa First Quarter of Fiscal Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's call is being recorded and we have allocated one hour for prepared remarks and Q&A. It is now my pleasure to introduce your host, Martin Beer, Mytheresa's Chief Financial Officer. Thank you, sir. Please begin. Greetings, and welcome to the Mytheresa Fourth Quarter and Full Fiscal 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's call is being recorded and we have allocated one hour for prepared remarks and Q&A. It is now my pleasure to introduce your host, Martin Beer, Mytheresa's Chief Financial Officer. Thank you, sir. Please begin.
Martin Beer: Thank you, operator, and welcome, everyone, to Mytheresa's Investor Conference Call for the first quarter of fiscal year 2024. With me today is our CEO, Michael Kliger. Before we begin, we would like to remind you that our discussions today will include forward-looking statements. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties, including the risks and uncertainties described in our annual report. Many factors could cause actual results to differ materially. We are under no duty to update forward-looking statements. In addition, we will refer to certain financial measures not reported in accordance with IFRS on this call. You can find reconciliations of these non-IFRS financial measures in our earnings press release, which is available on our Investor Relations website at investors.mytheresa.com. I will now turn the call over to Michael.
Michael Kliger: Thank you, Martin. Also from my side a very warm welcome to all of you and thank you for joining our call. We will comment today on the results and performance of our first quarter of fiscal year 2024. We are pleased with our results in a challenging macro environment with our positive revenue growth and a small financial loss we not only surpass market expectations, but also outperformed almost all competitors. As expected, we saw a slowdown in demand with aspirational customers across all geographies and a high promotional intensity in the market due to excess stock of fall-winter merchandise. Even though the macro environment remains very challenging, we continue to prove the fundamental strengths of our business model. We saw strong double-digit revenue growth in the United States, grew our business with top customers over proportionally and managed to mitigate significant margin pressures with cost adjustment. With our resilient business model and our focus on the high spending wardrobe-building customers we will be best positioned to benefit and accelerate when market conditions improve. I want to highlight today again three aspects of our business that sets us apart in the sector and will give us a head start in improving market conditions. First, our unique focus on big-spending wardrobe-building customers enabled us to generate growth with top customers and particularly in the United States in the first quarter. Second, the strong relationships and support from our brand partners allowed us to offer our customers once more many exclusive capsule collections and activations or experiences in the first quarter that drive top customer engagement and loyalty. Third, we continued to evolve and innovate our business model as evidenced by the successful launch of our new state-of-the-art distribution center at Leipzig Airport in the first quarter and our expansion into fine jewelry. Sector leading growth, resilient financials and ongoing innovation for future growth set us apart from peers. Let me now comment in more detail on these three highlighted areas for today. First, in the first quarter we grew our net sales by plus 6.8% compared to Q1 of fiscal year 2023. This strong growth is above market expectations and above peer performance. It is highly noteworthy that the United States generated again an outstanding growth with plus 25.1% in terms of gross merchandise value compared to Q1 of fiscal year 2023. The United States continues to be a significant growth driver for Mytheresa and the market accounted for 18.7% of our total business in the first quarter of fiscal year 2024. The key driver for our growth is our continued focus on the big-spending wardrobe-building top customers and not the aspiration occasional luxury shopper. Our top customer base grew by plus 19% compared to Q1 of fiscal year 2023. In the US, our top customer numbers increased even greater by plus 56.1% in the first quarter. Further evidence of our focus on top customers is that our average order value, LTM, increased once more by plus 5.4% to a record high of EUR660 in Q1 fiscal year 2024 compared to fiscal year 2023. Second, the first quarter saw again many high impact campaigns, exclusive product launches and events as well as money can't buy experiences demonstrating our strong relationships and the support from brand partners. All of them further increased our brand awareness, brand equity and positioned us globally as the leading digital luxury platform. We have the exclusive launch of styles from Loewe. The launch of an exclusive 27 piece capsule collection from Brunello Cucinelli, only available at Mytheresa. The pre-launch of the Alexander McQueen cruise collection ahead of anyone else. The launch of Manolo Blahnik shoes as a key brand addition to our assortment and the launch of Loro Piana capsule collection only available at Mytheresa. Please see our investor presentation for more details on brand collaborations. We also hosted again exclusive events for our top customers, providing them with money can't buy experiences. Examples of events in the first quarter include a dinner and party in Warsaw, Poland, to celebrate the launch of the exclusive Magda Butrym capsule. The creative director herself attending the two-day experience for top customers in Cadaques and Figueres, Spain, in partnership with Rabanne as well as events in Chicago, Milan, Paris, and Beijing. Furthermore, I'm proud to announce today that we opened the Holiday House, our second truly immersive physical luxury shopping experience in partnership with Flamingo Estate in Los Angeles for the first three weeks in December. We expect with this pop-up again a strong boost to our business with US top customers. Third, in the first quarter of 2024, we continue to drive innovation in our business for future growth. The first week of September, our new warehouse at Leipzig Airport successfully started to operate. As anyone who has gone through a similar large-scale DC project can tell you, this was a major milestone for the company. The new facility with its 55,000 square meter of building space will not only provide ample capacity for the future growth of our business, but it will also dramatically improve customer service, thanks to its unique location and direct adjacency to the International Air Freight Hub of DHL. We are now ramping up the staff and throughput of the warehouse and already in the second half of fiscal year 2024 we expect to see the positive impact of the new facility on our business. Our customers will benefit from significantly later cut-off times for international deliveries, additional flight options to the United States and faster return processing from customs destinations. Another initiative that we have kicked off in the last quarter was the expansion of our fine jewelry offerings with item values exceeding EUR25,000. We already carry fine jewelry brands such as Repossi, Pomellato, Yeprem or Marina B and will add several more in the coming months. To deliver the high-value pieces, we have set up a dedicated white glove courier service with DHL Express globally. This new category will further strengthen our offerings and business with high spending top customers. I would also like to mention that Mytheresa published its second positive change report. Some of the highlighted achievements in this report for fiscal year 2023 include an 11% decrease of CO2 emissions per order shipped, 92% usage of renewable electricity in the company, 58% women in leadership positions, and more than EUR4 million worth of pre-owned products resold by our customers via our partnership with Vestiaire Collective. Please see our investor presentation for more details on the Mytheresa positive change report. With all the above, it should come as no surprise that we are pleased with our solid performance in the first quarter of fiscal year 2024, despite significant macro headwinds. We believe that our results demonstrate the strengths and consistency of our business model, delivering profitable growth. We see ourselves as one of the few winners in the expected consolidating luxury e-commerce space. This also drives our strong confidence in our medium-term growth trajectory and profitability levels despite the short-term uncertainties in the current environment. And now I hand over to Martin to discuss the financial results in detail.
Martin Beer: Thank you, Michael. We are pleased with our top line performance in a challenging macro environment and with persistent heavy promotions from peers. Despite these headwinds, we achieved net sales growth of plus 12% constant currency in the quarter. The slightly negative adjusted EBITDA margin of minus 0.4% in Q1, which is in line with our expectations is a result of this heavy promotional environment and in our view is transitory. Looking ahead and despite these ongoing pressures, we expect to finish Q2 of fiscal year 2024 ending in December '23 with a positive adjusted EBITDA margin. In addition, for the first half of calendar year 2024, due to adjusted spring-summer inventory in the market, we expect a slowing of this heavy promotional environment leading to improvements in the top and bottom line. Our performance in Q1 of fiscal year '24, despite the headwinds, is a testament to our superior and unique market positioning, resilient business model, and our ability to adapt even in difficult times. I will now review our financial results for the first quarter of fiscal year 2024 ended September 30, 2023, and will provide supplementary details on certain key developments that affected our performance throughout the quarter. Unless otherwise stated, all numbers refer to Euro. In the first quarter of fiscal year '24, GMV increased by plus 8% on a constant currency basis to 204.1 million as compared to the prior year period of 197.9 million. Growth on an IFRS basis was at plus 3.1%. Our growth in this quarter is again a result of our focus on the highly valuable top customer segment. Our top customer base grew significantly, increasing plus 19% throughout the quarter. Overall, customer engagement and retention is strong with the number of active customers who made a purchase during the last 12 months increasing by plus 8.2%, reaching a total of 865,000 active customers. During the first quarter, net sales increased by 11.9 million, a plus 12% on a constant currency basis increased year-over-year to 187.8 million. Growth on an IFRS basis was at 6.8%. As of Q1 of fiscal year '24, we continue to have seven major brands operating seamlessly under the CPM. In our collaboration efforts with brand partners, we are able to provide them with full flexibility offering both models. And we expect to have one to two brands transition from the wholesale model to the CPM each fiscal year. We once again saw growth in various regions of the world during the first quarter of fiscal year '24. In the US in particular, we continue to build our leadership position with continuous double-digit growth. We grew GMV in the US by plus 25.1%. The number of top customers in the US grew by an impressive plus 56.1% during the quarter. The number of first time buyers in the US increased by plus 18.9%. As of the end of the first quarter, the US makes up 18.7% of our total GMV. Our average order value, LTM, increased by 5.4% to industry-leading EUR660, and absolute figures, the increase in AOV represents plus EUR34 per shipped order. The continuous increase in AOV in the past quarters and years improves order economics and reflects our successful focus on full price selling and operating in the sweet spot of high-end luxury. In Q1 of fiscal year '24, our gross profit margin continues to be affected by the intense promotional environment that we mentioned earlier. We still witness unusual level of promotions as competitors are trying to balance their inventory levels. Consequently, our full price share in relation to our sale activities continues to be lower than anticipated, leading to a decrease in gross profit margin of around 400 basis points due to this mix effect, similar to what we saw in the prior quarters. A few other factors contributed to another 340 basis points decline in gross profit margin. Among those factors were one, an exceptional provision for expected inventory depreciation and two, certain financial effects driven mostly by a stronger performance of several wholesale brands in relation to individual CPM brands. Remember that only the commission with CPM brands is accounted for net sales with a 100% gross profit margin. If certain wholesale brands perform better than individual CPM brands, then the gross profit margin decreases mathematically. On the other hand, if CPM brands would increase their share in the upcoming quarters, then the gross profit margin would increase mathematically due to this effect. All factors considered, we achieved a gross profit of 79.8 million, representing a gross profit margin of 42.5% during Q1. Shipping and payment costs increased by 4.3 million or 17.8% from 24 million for the three months ended September 30, 2022 to 28.3 million for the three months ended September 30, 2023. The increase in the shipping and payment cost ratio from 12.1% to 13.9% in Q1 was mainly due to a one-time positive effect in GDP costs in the previous year quarter. 13.9% cost ratio was also the ratio we achieved in the preceding quarter, Q4 of fiscal year ' 23. For the full fiscal year ' 24, we expect a similar ratio. Marketing expenses decreased from 25.4 million in last fiscal year's first quarter to 23.7 million in the first quarter fiscal year '24. The marketing cost ratio in relation to GMV decreased from 12.8% to 11.6% as we continue to focus our marketing efforts on the most promising new customer acquisition and top customer attention strategies and aligned our marketing efforts with an overall softer market sentiment. Adjusted selling, general administrative expenses increased by 2.8 million to 29.5 million during Q1 of fiscal year '24. Adjusted SG&A as a percentage of GMV increased modestly by 100 basis points from 13.5% in the prior year period to now 14.5%. The increase in SG&A expenses is mainly due to a higher personal expenses especially for staff in operations and logistics. We anticipate a continued reduction in the adjusted SG&A cost ratio throughout fiscal year '24, targeting to reach a lower level than in the preceding fiscal year. As already anticipated during the last earnings call, adjusted EBITDA during the first quarter of fiscal year '24 was at minus 0.8 million, slightly negative and already reflected in our full year guidance for fiscal year '24. As seen in prior years, the quarterly performance varies due to seasonality with Q1 being one of the weaker quarters, for Q2 fiscal year '24. And despite an ongoing heavy promotional environment, we expect to end the quarter with a positive adjusted EBITDA margin. In addition, for the first half of calendar year '24, we expect a slowing of this heavy promotional environment leading to improvements in the top and bottom line. In addition, we will be able to leverage our new technology platform and the new Leipzig warehouse for growth and margin improvements. Depreciation and amortization expenses in Q1 of fiscal year '24 increased slightly to 3.4 million or 1.7% of GMV as compared to 2.5 million or 1.3% in the prior year quarter, mostly due to higher depreciation and right of use assets related to the new warehouse in Leipzig, Germany. The low level of depreciation and amortization expenses is also a key strength in our business model. Adjusted operating income or adjusted EBIT during the first quarter of fiscal year '24 was at minus 4.2 million with an adjusted EBIT margin of minus 2.3%. We ended the quarter with an adjusted net income of minus 2.9 million and an adjusted net income margin of minus 1.6%. During the three months ended September 30, 2023, operating activities use 33.3 million of cash for the typical seasonal inventory build-up of current fall-winter merchandise. We finished the quarter with no long-term bank debt, 7.5 million cash, and 16.4 million of borrowings under our 60 million revolving credit facilities. Due to the seasonal deliveries and the slower top line, our inventory level increased plus 44% year-over-year, which is below the inventory build-up during the preceding quarter of plus 57%. End of October, inventory was plus 36% to previous year. We continue to tactically manage our inventory levels, while our overarching focus is to attract and retain the right customer cohorts with focus on full price, being mindful of brand relationships, and preventing undue inventory aging. We are carefully managing our inventory levels from a position of confidence, leveraging our cash and balance sheet strengths. Given all this, we are confident in our business model and remain assured to continue our profitable growth story even in a very challenging environment. While we expect the macroeconomic uncertainties to continue, we expect a slowing of this heavy promotional environment in H2 of our fiscal year, leading to improvements in the top and bottom line. We therefore confirm our guidance for the full fiscal year '24, but at the lower end of the guided ranges of GMV and net sales growth between plus 8% to 13%, gross profit growth between plus 8% to 13% and an adjusted EBITDA margin between plus 3% and 5%. Based on the current trends of this Q2, running from October to December, we expect a similar top line growth, what we saw in the preceding Q1, and a positive but low single-digit adjusted EBITDA margin. At the gross profit margin level, we expect similar pressures compared to Q1. We remain very confident in the medium and long-term outlook for our business. We are currently gaining market share and have completed two major infrastructure milestones. We will thus benefit more quickly and over proportionally when the luxury market recovers from the current economic challenges. Our market positioning is getting stronger every month. During this fiscal year and beyond you will see a fortification of our leadership position in multi-brand luxury, building the most successful powerhouse for the top luxury customers and the top luxury brands. I will now turn the call back over to Michael for his concluding remarks.
Michael Kliger: Thank you, Martin. We are pleased with our first quarter of fiscal year 2024 earnings results. We see ourselves well positioned to achieve our fiscal year 2024 guided targets despite the continuously challenging macro environment. We will continue to benefit from the ongoing shift to online and luxury spend, the increasing importance of the big spending customer segment and the desire by brand partners to work with only the best digital platforms in the market. We are confident that Mytheresa offers high-value consumers the best multi-brand digital shopping experience there is. And with that, I ask the operator to open the line for your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Matthew Boss from JPMorgan. Please go ahead.
Matthew Boss: Great, thanks. So maybe, Michael, just to start off, could you speak to changes in consumer behaviour that you saw as the first quarter progressed and then maybe just elaborate on what you've seen more recently as we've moved past the summer travel and leisure demand particularly if you've seen any material differences in behaviour from your top customers relative to the aspirational customer?
Michael Kliger: Sure. Thank you, Matt. The story of after summer of Q1 was of course, different elements. I mean, one very traditional retail comments, but September was very warm. And so winter merchandise had a late start. In terms of differences by customer segment, the top customers continue to spend well. They did spend substantial time of amount on holidays in August, but as they were coming back they continue to spend on ready-to-wear, they continue to spend on high price. So we grew the top customer base by 19%. We grew it by 56% in the US. The AOV is going up. So that trend is absolutely holding up. While the other trend is also holding up, which is aspirational customers are much slower in demand, they are of course now enticed to buy with offers already hitting discounts, I mean already hitting the market as of October. So they may be enticed to now spend what they haven't spent for quite a while, but that is of course very discount and sale focused. And so we also of course with our top customers see already starting interest in spring-summer merchandise as they start to plan for vacations beyond the Christmas holidays. So the current months are obviously, on the one hand, for winter merchandise sale, season-end sale, and the start of spring-summer. And particularly the start of spring-summer is of interest for our top customers and is also of interest for us as it is a full price business.
Matthew Boss: Great. And then maybe a follow-up for Martin. So as we think about the guidance relative to three months ago, what led to the revision to the lower end of the prior ranges? And then could you just elaborate on the timeline from here to see inventory levels more aligned with GMV growth?
Martin Beer: Yeah, Matt, happy to do so. The guidance for the full fiscal year is still, I mean, a strong guidance of plus 8% to plus 13% for the full fiscal year given a flat or slightly positive Q1 with for the full fiscal year a positive adjusted EBITDA margin of plus 3% to 5%. We guide at the lower end as we in this unprecedented situation we have to see how the situation evolves and Q2 as expected we see a continuation of this heavy promotional environment and we therefore have a prudent guidance on the overall outlook because as you well know there are a lot of uncertainties in the market that we cannot fully account for or capture in the full year guidance, but overall I think our expectations for the full fiscal year and beyond is very positive.
Matthew Boss: Great. Best of luck.
Operator: Your next question comes from the line of Oliver Chen from TD Cowen. Please go ahead.
Oliver Chen: Hi, Michael and Martin. Gross margins came in lower [Technical Difficulty] this maybe more transitory and also as we think about the gross margin components, what components were mix impacted relative to merchandise margins? As we move [Technical Difficulty] gross margin the next few quarters, what happens, and also the environment that you're seeing. Thank you.
Michael Kliger: Thank you, Oliver. You were a bit cut off, but I think it is really about the gross margin involvement in this first quarter. So maybe, Martin, you take it.
Martin Beer: Yeah, happy to do so. Thanks, Oliver. I mean we saw, it's kind of in this quarter, an unprecedented 740 basis points decrease in the gross profit margin. The operative gross profit margin due to exactly what you're referring to a more heavy promotional environment and a lower share of our full price in the quarter was again you know 400 basis points. Exactly what in line, what we've seen in the preceding quarters and what we expected. And also the gross profit margin in this quarter was driven by an exceptional provision for expected inventory depreciation that we took and looking at the inventory levels to reflect that. And the second driver of this additional 340 basis points with this mathematical effect of CPM brands with a lower performance compared to wholesale brands and they have a 100% gross profit margin. So this is the key drivers of Q1. In Q2, we see a continuation of this heavy promotional environment, therefore a continuation of this operative gross profit margin effect, the CPM effect we have to see, but obviously this one-time exceptional provision for expected inventory depreciation is just a one-time effect. And as stated in the second half of the fiscal year, so from January to June to 2024, due to a different expected situation in spring-summer 2024, in the market, we expect a lower promotional intensity and therefore a decrease in that operative gross margin slippage.
Oliver Chen: Okay. Just a follow-up. Why would you expect a lower promotional environment? We hope so, but we're seeing deteriorating trends in different ways. And second, Michael, as you zoom out, is there a way to future proof your business against these dynamics or things that may be in your control as you think medium and longer term about promotional vulnerability that clearly exists. Thank you.
Martin Beer: Yeah, Oliver, maybe just -- yeah, go ahead.
Michael Kliger: Happy to take that. So, I mean, the logic of improvements in H2 on spring-summer is – spring-summer '24 was the season that was bought when the slowdown in demand was present. Up to now, fall-winter '23 was still bought back in October, November last year when it was not crystal clear where the market was heading. Spring-summer '24, it was crystal clear where the market was heading. And we know that many platforms, many retailers, also because of cash constraints, took a much more conservative approach to spring-summer '24. So while it is not easy to predict the demand for spring-summer '24 given the uncertainties that Martin was talking to. It is crystal clear that there will be less merchandise in the market. There will be less spring-summer '24 merchandise in the market, which is a driver for more disciplined, more focus on full price instead of promotions. And your second question, of course, our ongoing efforts to a) focus on the top end, top customers b) focus on capsules, exclusive collections, focus on ready-to-wear. All of these efforts are exactly to allow us to compete not on price, not on discount, but to compete on units, on exclusivity, and combine that with superior service for our best customers. That is the approach that has allowed us to grow in the market where most people rank, has allowed us to still deliver solid results and not fall into big financial losses. But the current situation needs to be seen as the worst market conditions since 2008, 2009. So this is really a test and we believe the numbers we are posting right now, the numbers we are guiding, are full evidence of the resilience of the business model. And the tough conditions out there, unprecedented at least for the last 10 years will or are a test for business models, and we believe our created multi-brand business model is performing much, much better than other business models, which are much more focused on aspirational customers, much more focused on endless aisle product choice. And that's very important at the moment to understand that difference in business model, that difference in customer base we are focusing on, that difference in how we approach merchandising a product choice because that is the key differentiator that is the armor against the promotional intensity that is out there.
Oliver Chen: Happy holidays. Best regards. Thank you.
Operator: Your next question comes from the line of Ashley Helgans from Jefferies. Please go ahead.
Blake Anderson: Hi. Good morning. It's Blake on for Ashley. I wanted to first ask about the US strength. You saw a top customer spend up there very nicely, around 56%. I was wondering if you could unpack the key drivers of this and then how you view that rate throughout the rest of the year, are those drivers sustainable?
Michael Kliger: I mean we do believe these drivers are sustainable, so we do believe we can continue to grow double-digit in US. As we have done for almost five, six quarters now consistently, the drivers for that is coming back to, we have a different go-to-market approach. We offer things others don't, or at least don't focus on. We have a very curated offer. We're focusing very much on the high end. You look for product on our website. You're not confused, distracted by products at very low price points with brands that are not in your [indiscernible]. We are very much focusing on inspiration and we offer products which last just in this quarter. I mean, we had exclusive product with Brunello Cucinelli, one of the best performing brands. We had exclusive product with Loro Piana, one of the best performing brands. We offer our customers uniqueness, and that is what seems to resonate very well with the US consumer. And we will continue to do that and will, of course, continue to build market presence. This four-week presence was a pop-up in East Hampton for a multi-brand retailer gave us a unique access to high-end customers. We clearly see that this resulted in acquiring new customers and getting into new customer cohorts. And as of next week, we will start again with experiential pop-up, the Holiday House in LA, again, something very unique, something that underlines our focus on emotional inspiration created offers and we will continue exactly on that track with our great US team with our great personal shoppers based in the US. We do see that this can be sustained against the US competitors.
Blake Anderson: That's helpful. And then a model question. I know you mentioned you expect positive EBITDA margin in the second quarter. Did you say where you think gross margins could shake out in Q2 as well?
Martin Beer: We don't guide for gross margin in the immediate quarter and we usually don't also give quarterly guidance, but in this exceptional situation we wanted to at least lead you a bit to the next quarters, how they evolve, especially while the second half of fiscal year '24 is driven by a significant improvement in the gross profit margin due to what Michael referred to given the different buy in the spring-summer '24 season.
Blake Anderson: Got it. Thank you very much.
Operator: Your next question comes from the line of Kunal Madhukar from UBS. Please go ahead.
Kunal Madhukar: Hi. Thanks for taking my questions. One, when we're talking about the top customers, can you talk about what percentage of GMV do the top customers represent and how is that different from fiscal 1Q'23? And then in terms of AOV, how was AOV for top customers versus AOV for non-top customers? How did that kind of perform on a year-over-year basis?
Martin Beer: Thank you for the question, Kunal. On the top customer, the share of the business in terms of GMV for Q1 LTM was 39.4%. So another increase. In the last earnings report, we reported 38.4% or 38.5%, I don't recall exactly. So we added another percentage point as we went from the last quarter to this quarter. So it's expanding. The continued spend of the top customers versus the continued slowdown aspirational customers make that share of business bigger. We don't break out in our reports the specific AOVs for top customers, for standard customers, but we have repeatedly stated that the top customer AOV is more around 1,000 compared to the average that we achieved in this LTM EUR660.
Kunal Madhukar: Got it. And then, one of the things that you kind of talked about was when it comes to the spring-summer 2024, that the buying levels were determined after the slowdown started. So what if the luxury market continues to remain weaker overall? And so even at the lower level of [Technical Difficulty] business, is it possible that retail [Technical Difficulty] end up with like more inventory than even what they feared?
Martin Beer: I mean obviously the answer to that is an equation. And one part of the equation is for sure smaller. Inventory for spring-summer will be smaller than the combined inventory of fall-winter in the market or the combined inventory of spring-summer ['22] (ph). So, that's certain. The other part of the equation is will we see demand levels comparable to the last 12 months or will there be up and down? The best guess is, there will be similar because the rest will be speculation. And if they are similar, then it leads to improved sales rules. It leads to less promotions in the market. Thus it leads to a better top line and to a better margin. Of course, if the market rebounds suddenly quickly, it gives you an extra boost. If the market goes south, it could very much be that the reduced inventory is sort of eaten up by even further reduced amount, but that's speculation.
Kunal Madhukar: Got it. And then one last one, and I'm sorry, I just keep going on. On the liquidity side, can you help us understand how we should think of free cash flow for the rest of the year in order to understand whether the 60 million revolver that you have is sufficient to meet liquidity needs for the near term?
Michael Kliger: Yeah, happy to do so, Kunal. So in the quarter 33 million use of cash, very typical as we build up the seasonal fall-winter '23 merchandise and pay for that. We ended the quarter with no long-term bank debt, which is quite unique in our balance sheet, 7 million cash and 16 million use of the revolver, so a net utilization of 10 million of the 60 million revolver. And we expect that our revolver is fully sufficient, fully sufficient because we now have the fall-winter merchandise all in the warehouse. We expect that the revolver is fully sufficient to cover the seasonal peaks. And so we're very comfortable with what we have today.
Kunal Madhukar: Got it. Thank you so much.
Operator: Your next question comes from the line of Abhinav Sinha from Societe Generale. Please go ahead.
Abhinav Sinha: Yeah, hi, thanks. So two questions. One, on the top customers you said that it grew to 39% of the GMV. So my question was like is there a critical number beyond which it will start showing on the EBITDA margin as well. So that's one. And second is on the gross margin I mean was the one I mean if I remember correctly you are in a normalized scenario you have a 46%, 47% gross margin for the 1P business. So how was that? Was it also down like 6%, 7% or was it worse or better than the rest of the business? Thank you.
Michael Kliger: Well let me take the first question and then Martin addresses the margin question. I mean, is there, I understand, it's like the tipping point or, number one, as you rightfully assume, profitability with top customers is higher than with aspirational customers. And so if we would, surely theoretical, of course, have 80% business with the top customers, it would, of course, also impact the EBITDA of the overall customer, of the overall P&L. So in that sense, your logic is absolutely right. But as you see, we are continually expanding our share of top customers, having gone from 34 to 36 to 38 over the last three years. But that is the organic speed. So there is no expectation, and there's actually also no organic way to boost the top customer share sort of within one quarter or within two quarters to something close to 50. That's not possible. Therefore, the improvement in EBITDA is continue focus on top customers, but reduce promotional intensity in the market.
Martin Beer: Yeah, I'm happy to do the gross profit margin question. Exactly as you pointed out, Abhinav, I mean, the last years we have consistently achieved the 47% gross profit margin due to our focus on the sweet spot in online luxury, due to our focus on top customers, due to the core elements of the business model. And right now, we are in this unprecedented transitory situation where we see the 300 to 400 basis points, operative gross margin dilution due to this situation, due to this heavy promotional environment driven by access inventory. And so this phase is transitory and obviously we then expect in the next quarters and especially then fiscal year '25, a normalization of this gross profit margin slippage to again achieve the gross profit margin levels that we saw before.
Abhinav Sinha: Sure. Thanks for that.
Operator: Your next question comes from the line of Yawen Gao from CICC. Please go ahead.
Yawen Gao: Okay. Thanks for taking my questions. I have one for China and the Chinese customers. I saw luxury companies they're still waiting for the demand recovery in China market. I'm just wondering what about your observations and could you give more comments on China market and also the Chinese customer performance? Thank you.
Michael Kliger: Thank you. Happy to address that question. Our observation is very much in line with the luxury brands. We have seen a rebound over the last six months, starting in March, April, but it's a very slow one. So the recovery for us in China is slow and we contribute this to two factors. One is we saw initially also by our on the ground teams, a high propensity, high inclination of Chinese consumers to spend on going out spend on travel within China, travel within the region. And so that is actually a similar pattern that we have seen in other markets. And then the second one is also in China, an aspirational customer segment that is much slower in rebound than the top spending customer. So overall the market is improving, but at a lower speed than many, many people expected.
Yawen Gao: Thank you.
Operator: This does conclude today's conference call. Thank you for your participation and you may now disconnect.